Operator: Good day, ladies and gentlemen, thank you for standing by. Welcome to the Cedar Fair Fourth Quarter and Year-End Earnings Conference Call. During today’s presentation, all parties will be a listen-only mode. Following the presentation, the conference will be opened for questions. (Operator Instructions) This conference is being recorded today, Tuesday, February 15, 2011. I would now like to turn the conference over to Ms. Stacy Frole. Please go ahead, ma’am.
Stacy Frole: Thank you, Elisa. Good morning and welcome to our year-end earnings conference call. I’m Stacy Frole, Cedar Fair’s Director of Investor Relations. Earlier today, we issued our fourth quarter and year-end earnings release. A copy of that release can be obtained on our corporate website at www.cedarfair.com or by contacting our Investor Relations offices at 419-627-2233. On this call this morning are Dick Kinzel, our President and Chief Executive Officer and Peter Crage, our Executive Vice President and Chief Financial Officer. Before we begin, I need to caution you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ materially from those described in such statements. You may refer to filings by the company with the SEC for a more detailed discussion of these risks. In addition, in accordance with Regulation G, non-GAAP financial measures used on the conference call today are required to be reconciled to the most directly comparable GAAP measures. During today’s call, we will make reference to adjusted EBITDA as defined in our earnings release. The required reconciliation of adjusted EBITDA is in the earnings release and is also available to investors on our website via the conference call access page. In compliance with SEC Regulation FD, this webcast is being made available to the media and the general public as well as analysts and investors. Because the webcast is open to all constituents and prior notification has been widely and unselectively disseminated, all content of the call will be considered fully disclosed. Now, let me turn the call over to Dick Kinzel.
Richard L. Kinzel: Good morning and thank you for joining us on the call this morning. As we have done on previous calls, I will share a few opening remarks before turning the call over to Peter for a discussion of the financials. After the review of the financials, I will add some additional thoughts about our business outlook and other matters before we take your questions. As you have likely seen in our earnings release already, 2010 was a record year for the company, thanks to the success of innovative marketing programs, strategic capital investments in our business, favorable seasonal weather conditions throughout the year and throughout the regions, as well as the slowly recovering economy. During the year, we had the privilege of entertaining a record 22.8 million guests, which is nearly 8% or 1.7 million more guests than a year ago. Two of our parks, Carowinds and Michigan’s Adventure had a record year for their individual properties. Our aggressive marketing efforts helped increase seasons pass sales, which in turn, increased the number of seasons pass visits. This was especially true for our parks in the southern and western regions. We also benefited from the return of many of our group bookings that were lost during the economic downturn of 2009. New lights and attractions and favorable weather conditions throughout most of the operating season, combined with the return of seasons pass visitors and group business, provided the right elements for our record attendance. The strong increase in attendance and a 6% improvement in out-of-park revenues were responsible for our overall increase in revenues. Likewise, despite the fact that seasons pass guests typically spend less per visit than other guests, we were quite pleased to see our average in-park guest per capita spending decrease only a little less than 1% during the year. Our strong double-digit top line growth in the fourth quarter is further evidence that our strategy to grow our fall entertainment season to complement our peak summer season is on point and gaining meaningful traction. This organic growth opportunity will remain a strategic priority for us going forward. For the year, adjusted EBITDA increased approximately $43 million to a record $359 million versus $317 million a year ago. These strong results are due to our combined focus on controlled costs combined with our record attendance in October. As you know, while the economic conditions were slowly improving in 2010, it was anything but a robust consumer market. For me, our performance this year clearly reflects both the inherent strength and stability of our distinctive parks and attractions, as well as that of engaged and dedicated employees. I am very proud of the collective effort they have put forth to make this record-setting year for Cedar Fair. Now, I’d like to turn the call over to Peter to discuss our final results in more detail.
Peter J. Crage: Thank you, Dick. From a financial perspective, this company is in a much stronger position today than where we were just a year ago. Through the past year, we have achieved record adjusted EBITDA and attendance; returned season pass to pre-2009 levels; and recouped a majority of the group sales business lost in 2009, due to the economic climate at that time. We’ve continued to control operating costs, resulting in an increase in the adjusted EBITDA margin of 210 basis points. We’ve improved our debt portfolio with longer tenure and widened covenants and we’ve reduced our total debt by $47 million. These successes have allowed us to resume the quarterly distribution. 2011 will be our 25th consecutive year of paying our distribution to unitholders and we have significantly improved our leverage to 4.3 times debt to adjusted EBITDA, as defined in our credit agreement at December 31, 2010, compared with 4.9 times at December 31, 2009, an important factor in ensuring the distribution is sustainable over time. In light of our strong performance in 2010, the strengthening of our capital structure and continued improvement in the capital markets, we are currently working with our lenders to amend our term loan B agreement to align with current market conditions. This potentially includes lower interest spreads and more flexible distribution payment provisions. However, negotiations are ongoing and the terms are not final. We will make an announcement when new information becomes available, which we hope to be in the very near future. Now onto the financials. For the year, net revenues increased $61.5 million or 7% to $977.6 million from $916.1 million in 2009. This significant increase in revenue reflects an 8% increase in attendance to 22.8 million visitors, due primarily to increases in season pass and group sales business, which Dick discussed earlier; a 6% or approximately $6 million increase in out-of-park revenues to $109 million, which is primarily attributable to higher occupancy and average daily room rates in our resort hotels; and lastly, slightly offsetting these increases was a less than 1% or $0.35 decrease in average in-park guest per capita spending. Operating costs and expenses for 2010 increased approximately 3% or $15.9 million to $632 million. The increase reflects a $10.4 million of costs incurred in connection with the terminated merger; an increase in scheduled maintenance expense across the parks of approximately $9.5 million; increases in operating supplies and seasonal wages of approximately $3.2 million and $2.9 million, respectively, primarily the result of increased attendance. Reflected in the 2009 results are a $9.5 million settlement of a California class-action lawsuit and a $2 million settlement of a licensing dispute. We have a long history of controlling our costs and improving efficiencies and we’ll continue to monitor these areas closely going forward to ensure continued success in the future. We use adjusted EBITDA, earnings before interest, taxes, depreciation and other non-cash items and adjustments as defined in our 2010 credit agreement to provide meaningful insight into our operating results, since we use it for budgeting, measuring park level performance, as well as covenant compliance. Because it’s important to us, we make it a point of sharing it with our investors. For the year, adjusted EBITDA increased $42.7 million or 13.5% to a record $359.2 million. Likewise, EBITDA margins improved 210 basis points to 36.7% from 34.6% in 2009. We believe the improved cash flows are a direct result of our capital investments and aggressive marketing campaigns combined with our continued, disciplined cost-containment throughout the year. Depreciation and amortization expense for the year increased $5.9 million, due primarily to lower amortization expense in 2010, resulting from the accelerated amortization in 2009 of the intangible asset related to the Nickelodeon licensing agreement, which was not renewed at the end of 2009. During the fourth quarter of 2010, we recognized a $62.4 million non-cash charge for impairment of fixed assets. Although the acquisition of the Paramount Parks continues to meet our collective operating and profitability goals, performance of Great America fell below our original expectation and resulted in an impairment charge. It is important to note that each of the acquired parks remains profitable and that this impairment charge does not affect cash, adjusted EBITDA, or liquidity. As a result of our July 2010 refinancing, we recognized a $35.3 million loss on the early extinguishment of our existing debt. The refinancing, along with the August 2009 amendment that extended $900 million of debt, also impacted our interest rate spreads, which were higher during 2010 than a year ago. Consequently, interest expense for 2010 increased $25.6 million to $150.3 million from $124.7 million in 2009. Based on our current debt structure, we anticipate cash interest costs for 2011 to be in the range of $155 million to $160 million, due primarily to interest rate swap agreements that will expire primarily in the fourth quarter of 2011. Going forward, we anticipate cash interest costs for 2012 and beyond to be in the range of a $110 million to $120 million. And as a reminder, these cash costs could further decrease as a result of our current refinancing efforts. The net effect of swaps increased $9 million to a total non-cash charge of $18.2 million, reflecting the regularly scheduled amortization related to the swaps, offset somewhat by gains from marking the swaps to market, as well as unrealized foreign currency gains related to the swaps. During the year, we also recognized a $20.6 million benefit to earnings for unrealized and realized foreign currency gains, $17.5 million of which represents an unrealized foreign currency gain on the U.S. dollar denominated notes issued in July and held at our Canadian subsidiary. For the year, a provision for taxes of $3.2 million was recorded to account for publicly-traded partnership taxes and the tax attributes of our corporate subsidiaries. This compares with a provision for taxes of $15 million in 2009. Net loss for the year totaled $31.6 million or $0.57 per diluted limited partner unit, compared with net income of $35.4 million or $0.63 per unit a year ago. I will now briefly summarize our fourth quarter results. Net revenues were $129.7 million compared with $105.6 million a year ago or an increase of $24.1 million. The improved revenues are the result of record fall operating season, where we experienced a more than 20% increase or 635,000 visits in attendance. I believe it is important to mention that revenues increased for all of our regions during this period. Operating loss for the quarter was $58.1 million compared with an operating loss of $19.8 million in the fourth quarter a year ago. Adjusted EBITDA for the quarter increased to $19.9 million from $7.5 million in 2009. Finally, I’ll review the balance sheet. At year-end, our receivables and inventories were at normally low seasonal levels and we have the necessary credit facilities in place to fund the current liabilities, capital expenditures, and pre-opening expenses as required. Partners equity totaled $137.1 million. Our total cash on hand was $9.8 million and we had approximately $221 million of unused capacity on our revolving credit facility. At the end of the year, we had $1.16 billion of variable rate term debt, of which all has been converted to fixed rate through several swap agreements; $399.4 million of fixed rate debt; and $23.2 million of borrowings under our revolving credit facilities. Of the total term debt outstanding at the end of the year, none was scheduled to mature within the next 12 months. As a result, our cost of debt is approximately 9.9% at the current time, not including our current refinancing efforts, and will decrease significantly in 2012 and beyond, as I mentioned previously. We have come a long way from where we were a year ago and are pleased with where we ended the year in terms of both liquidity and cash flow. We have remained vigilant in our strict controls over operating costs, while ensuring a best in class visitor experience and our results reflect this. Going forward, we will continue to maintain a thoughtful and measured fiscal policy, which will provide the flexibility to take advantage of opportunities as they arise. This policy, which will be further enhanced if we complete our current refinancing, will provide us with even greater flexibility to create value for our unitholders through a combination of increased cash flow, increasing distributions and continued capital structure optimization. At this point, I’ll turn the call back to Dick for some comments on the upcoming season.
Richard L. Kinzel: We are very optimistic about our growth and value-creating potential as we enter the 2011 season, thanks to the strength of our operations, success of our marketing initiatives, and our financial discipline. From an operations standpoint, our industry-leading parks remain vibrant destinations that offer compelling entertainment value for guests. Key to that is our ongoing commitment to bringing new rides and attractions to our park each year and every year. In 2011, we look forward to thrilling guests with four 300-foot swing rides at our four largest properties, Cedar Point, Knott’s Berry Farm, Kings Island, and Canada’s Wonderland. Likewise, we look forward to introducing new family fun attractions at Dorney Park, Worlds of Fun, and Valley Fair. From a financial standpoint, thanks to the successful and well-timed debt refinancing in mid-2010, we again had the flexibility necessary to fund our future growth opportunities and reward our unitholders with a sustainable and progressively increasing distribution stream, that tracks with our improved operating trends and recovering economy. We have had requests from some of our investors to be more aggressive with our distribution policy. I want to assure you that we realize we are an MLP, and as such, as our partnership agreement states, a partnership will make regular cash distributions on a quarterly basis of all the partnerships’ available cash. No one would be more pleased than me to get the distributions back to 2009 levels as soon as possible, but we must take caution, however, that the events of 2009 never happen again. As we look ahead, we certainly believe 2011 will build upon the positive performance trends we achieved in 2010. We’ll provide guidance for 2011 revenues and adjusted EBITDA on our first quarter conference call. However, we continue to believe that revenues and adjusted EBITDA growth of 2% to 3% over the next three to five years is achievable with our capital plan as currently configured. We also expect that we will continue to generate a significant amount of free cash flow during this same period. As I just mentioned, we remain committed to allocating this key cash free cash flow towards paying an increasingly orderly distribution to our unitholders, strategically increasing additional capital into our properties to support growth in our business and optimize the capital structure. We are optimistic about the future and expect the positive trends we created in 2010 to continue in our 2011 operating season and beyond. Elisa, at this point, now we’ll open the call up for questions.
Operator: (Operator Instructions) Our first question comes from the line of James Hardiman with Longbow Research. Please go ahead.
James Hardiman - Longbow Research : Good morning. Thanks for taking my call. A couple of quick questions here. Can you talk a little bit about gas prices and the effect that you think they have on your business? Maybe in the context of the summer of ‘07, the last time we saw a big spike in gas prices and ultimately, will you keep that in mind as you think about pricing for the upcoming season?
Richard L. Kinzel: Yes, James. In the past, we’ve always worried a lot about gas prices, but we’ve found that weather really has more of an impact on us than gas prices. And a few years ago, when we were having the high gas prices, it affected us somewhat but not as deeply as we thought it would be. But we certainly monitor it all the time and the weather is more of an impact on us than the gas prices.
James Hardiman - Longbow Research : Okay. And then with that in mind, it seemed like 2009 was a bad year from a weather perspective, so you had sort of an easy comparison this year. I mean, obviously, no one can predict the weather, but do you think as you move into 2011 normal weather patterns would be beneficial, would be a drag, how should I think about that?
Richard L. Kinzel: No, I would think we certainly figure bad weather into our budgets and I think figuring in a normal summer would be the right approach to take. We’re always going to have so many rain days, so many bad days. In the end, it usually works out. 2009 was something that just doesn’t happen that often. That, combined with the economy, really just threw us a curve. But I think going into 2011, in your model, if you figured normal weather and with the economy better than us, that would give you a pretty good model of what we’re going to do. And we’re pretty confident about 2011.
James Hardiman - Longbow Research : Okay. Great. And then, Peter, I was hoping you could maybe help me out a little bit. There were a lot of puts and takes in your operating expenses this year versus last. I guess if you pull out some of these charges, can you help me look at this, excluding some of those charges and how I should think about that moving forward? Are there incremental cost savings that we should expect in 2011? How should I think about that?
Peter J. Crage: From a cash cost side, we were able to, as you know, in 2009, cut quite a few costs. A number of those remained sticky for 2010, which was primarily one of the reasons why we were able to grow the EBITDA margin. With respect to the other P&L and GAAP items, two things really stand out; the impairment, the $62 million impairment of Great America as well as the loss on the extinguishment of the debt. I think if you add those back on a tax affected basis, you come around to $0.75 to $0.80 EPU. Clearly, we don’t expect those to be recurring, so that’s how we’re looking at it internally.
James Hardiman - Longbow Research : Okay. And I shouldn’t be assuming any one-time charges to operating expenses. I mean, obviously, you came into this year, you had the merger termination expense, there’s nothing like that, that I should be modeling for 2011, correct?
Peter J. Crage: Nothing that I’m aware of at this point in time for 2011.
James Hardiman - Longbow Research : Okay. And then in terms of your interest cost, it was very helpful in terms of your outlook for 2011 and more importantly, beyond, once the swaps expire. I’m assuming the $110 million to $120 million doesn’t assume much, if any, debt paydown. Is that the case? And if so, is that a good assumption? Should we assume that the majority of your extra cash is going to be used towards the dividend? Obviously, it doesn’t sound like you really want to say exactly where that cash is going to go, but the current guidance, does that assume no debt paydown?
Peter J. Crage: Well, we give a range because we have a number of different scenarios depending on how we perform and ultimately the decisions the Board makes with respect to the level of distribution. That’s why we provide a range. But obviously, become clearer as we get through this current refinancing effort we have and we’ll look at that on a quarter-by-quarter basis.
James Hardiman - Longbow Research : Okay. And just last question, as you look to maybe bring down these interest costs a bit, what do you have to bargain with ultimately? I mean, you sign these contracts, if you’re successful in bringing down the ongoing interest expenses, should we expect a one-time refinancing charge or how should I think about that? What do you have to give your lenders to convince them to bring those numbers down a bit?
Peter J. Crage: Well, the negotiations are still ongoing. We can talk about that once we finalize this, but again, as I said, for 2011, there’s not a material one-time charge out there that I’m aware of at this point in time.
James Hardiman - Longbow Research : Okay, great. Thanks, guys.
Peter J. Crage: Thanks, James.
Operator: And our next question comes from the line of Mike Pace with JPMorgan. Please go ahead.
Michael Pace - JPMorgan : Thank you. Can you just remind us what $80 million to $90 million in CapEx gets you per year and then do you think about it, how many years does is take for you to cycle through the asset base with major attractions? That’s question number one. Question number two, should we be thinking about any plans that you have in place to maybe try and reinvigorate the food and merchandise per caps? And then I have a follow-up for Peter when that’s done.
Richard L. Kinzel: Sure, Mike. The CapEx $80 million to $90 million is the model we’ve followed for a long time. What that enables us to do is to put a large rider attraction at two of our big four parks every other year or so. And then, minor capital, smaller rides or attractions, as you wish to call them, in our smaller parks. I think we’re sort of fortunate this year, I think we found a great ride in WindSeeker. And it was at a reasonable price, but I think it’s going to have a lot of marketing ability. It’s going 300 feet in the air; I think it’s going to be a great marketing tool. And so we were able to get that ride for approximately $5 million. So consequently, our capital in 2011, with a great program, we’ll be under that $80 million. As far as the food and merchandise per capita go, we are constantly trying to increase those. We’re always looking for new ways of doing that. One of the ways we’re thinking about increasing per capita next year is at Carowinds, our park in the Carolinas, that had a low per capita spend. And what we’re doing this year is we’re extending the hours there. They usually close at 8 o’clock at night. We’re extending those park hours to 10 o’clock at night during the prime season, but also we’re putting in a fireworks show and a light show that we put in some of our other parks last year. We think that will also help increasing per capita spending. We’re constantly monitoring per capita spending. We’re monitoring our pricing in the park. We certainly don’t want to be outrageous with our pricing, but we certainly understand that we are a seasonal business and our pricing has to correspond pretty much with what athletic teams do. So we might be just a little bit higher than out on the street, but it’s necessary cost to take care of being a seasonal business.
Michael Pace - JPMorgan: Okay, great. And I guess for Peter, I understand what you’re trying to do right now in the bank market. Can you just remind us what your restricted payment ability is in your bond covenants in terms of a basket? How much cushion do you have under the 4.75 times stopper there? And then I think there’s a nuance in the definition with the revolver calculation there. So can you just remind us of all that? Thanks.
Peter J. Crage: Certainly. We have a $20 million annual basket that mirrors the current bank agreement. We also have a threshold of 4.75 times, including our revolver. Right now at the end of the year, we were at 4.3 times and our revolver stood at $23 million, so that we were well within that level, that threshold of 4.75 times leverage including the revolver at the end of the year. The revolver though is calculated on an average annual basis and that’s one of the reasons why we focused in 2010 on reducing our leverage on the revolver, reduce that revolver from $86 million at the end of ‘09 to $23 million at the end of ‘10 to provide an appropriate cushion and we’ll continue to monitor that. Lastly, the basket for purposes of the bond agreement is a builder basket that began on April 1, 2010, and builds each and every month. And that basket is well in excess of $100 million at this point in time.
Michael Pace - JPMorgan : Okay, great. Thank you.
Operator: And we have a question from the line of Adam Steinberg with Merriman Capital. Please go ahead.
Adam Steinberg - Merriman Capital : Yes, guys, thanks for taking my questions. With regards to the snow we’ve had so far this winter, are you hearing if that’s pushing out the end of school years in some of your markets and can you quantify if there’s a potential 2Q impact there?
Richard L. Kinzel: Well, I haven’t heard too much about that. If it’s one or two days, they certainly, usually doesn’t affect us. But certainly, our regional VPs and our general managers haven’t expressed a concern about that. But I certainly can ask. We have a meeting every Friday and I’ll ask that question. And if you call back and let Stacy get your number, I’ll be glad to get back with you on that. But at this point, I don’t know of any concern we have with that.
Adam Steinberg - Merriman Capital : Okay.
Richard L. Kinzel: But again, if you get back with Stacy, I’ll check with the regionals and see if there’s any concern of any of the markets that we should be aware of. But none that I know of as we’re speaking.
Adam Steinberg - Merriman Capital : Okay. Thank you. And Peter, two quick questions for you. The first one is with the potential refinancing of the term loan, we really won’t see any benefit in the cash interest this year because of the swap, that’s more of a 2012 benefit, if I’m reading that correctly?
Peter J. Crage: No, Adam, in fact, the swap swaps out LIBOR and we’re looking at potential decreases in the spread and the interest spread we have on our current term loan. So we would expect in the event we can finalize good terms we would hope to have cash interest cost decreases in 2011.
Adam Steinberg - Merriman Capital: Okay. And then the other question is, I kind of look at the quarterly reporting for your EBITDA, I come to a full year of $346 million. Is there kind of a restatement in prior – for some of the prior quarters?
Peter J. Crage: Well, the reconciliation is there. I don’t know, I’d have to look at the numbers that you have, maybe we can get on the phone afterwards. But the reconciliation is attached to our earnings release. So we’d have to go down line by line and figure out how we’re coming up with different numbers.
Adam Steinberg - Merriman Capital : Okay. Alright. And then, Dick, if I recall, your employment contract, you were supposed to remain Chairman through January. Was there any sort of buyout or cash exchanged as a result of the unitholder vote?
Richard L. Kinzel: No, Adam, none whatsoever. Basically, I volunteered to release myself from the Chairmanship and Tom Harvie is in that, but there was no monetary considerations given, no anything was given. It’s basically Tom Harvie just has assumed more responsibility.
Adam Steinberg - Merriman Capital : Okay. And then last question is in Santa Clara. Back in November, I guess it was, the City Council approved some zoning changes for a new stadium?
Richard L. Kinzel: Yes.
Adam Steinberg - Merriman Capital: Where are you with your negotiations with the City for that? And if there’s an NFL lockout, does it even matter?
Richard L. Kinzel: Adam, from what we understand, the stadium is on hold indefinitely, mainly because of what we’ve read, basically we know what we’ve read in the paper, because of the uncertainty of the labor negotiations of the NFL and money that the stadium was unable to achieve from the state. So those discussions on the stadium in Santa Clara are on hold indefinitely.
Adam Steinberg - Merriman Capital: Okay. I’m sorry, it was because of labor and because California’s bankrupt?
Richard L. Kinzel: Yes, well, the State would not commit money to the project. Again, I am talking just from what I read in the paper, not as an expert on that.
Adam Steinberg - Merriman Capital: Okay. Alright. Those were my questions. And Peter, I’ll follow-up with you regarding the EBITDA calculation.
Peter J. Crage: Sure. Happy to go over that with you.
Adam Steinberg - Merriman Capital : Thanks a lot.
Operator: And our next question comes from the line of Jeffrey Thomison with Hilliard Lyons. Please go ahead.
Jeffrey Thomison - Hilliard Lyons : Thank you. Good morning. Excellent quarter and year, by the way.
Richard L. Kinzel: Thank you.
Jeffrey Thomison - Hilliard Lyons : I had a question on your allocation of free cash flow and your optimizing capital structure comment. But I guess you’ve touched on that enough, and I’ll let that one go. So I’ll just ask my second question on park operations, any update on how your smaller parks may or may not fit in an optimized portfolio approach to the business? And that is, could an asset sale or two be part of the picture in 2011?
Richard L. Kinzel: No, we’ve been in constant talk with the 49ers and with the City on the Santa Clara property what’s the best use of that. But other than that, Jeffrey, we have no parks on the market and we’re not talking to anyone about divesting of any of our properties. We’re very pleased with all of them. They all contribute very handsomely to the bottom line and we’re very pleased with them.
Jeffrey Thomison - Hilliard Lyons : Okay. Good enough.
Operator: (Operator Instructions) Our next question comes from the line of John Maxwell with Jefferies and Company. Please go ahead.
John Maxwell - Jefferies and Company : Hi, good morning. Just wondering about the cost of food with food inflation going. How does that factor in either for this year or going forward? If you can help us understand any potential impacts from that, that would be helpful.
Richard L. Kinzel: Sure. John, you’re absolutely right. Our bids are coming back in now but not only in food, but in also in shipping costs from overseas and prices are starting to accelerate. We are in a position that we certainly pass those costs along to the consumer and that’s certainly the approach that we will take with this. As costs are increased to us, we are forced to pass those along to the consumer. So we’ll just figure that as part of our pricing strategy, but we’ll gain it on the sales end, but then certainly, our costs will be a little bit higher.
John Maxwell - Jefferies and Company : Would that be in this year or do you do forward contracts and this year is locked in, it’s more (inaudible)?
Richard L. Kinzel: No, 2011, we’re starting to take prices now for 2011 to tie in some of the prices, as I mentioned before. The prices are higher than they were in 2010. However, we had not set our pricing, in price parking, retail pricing in the park yet, so those will be adjusted accordingly.
John Maxwell - Jefferies and Company : That’s factored in, I would assume, in your revenue guidance? You’ve kind of already taken that into account on what you’re going to be doing with the prices going forward?
Richard L. Kinzel: Well, we haven’t provided any revenue guidance, but clearly when we do that, we would consider all of those items, yes.
John Maxwell - Jefferies and Company : Okay. Then I guess I’m not sure if you could – or if you can comment on it, but obviously, is the discussions with the term lenders a discussion of lowering rate versus increasing the flexibility you would have with dividends, is it the company’s desire to lower the rate or to increase the flexibility or is it both? Again, I’m not sure how much you can comment, but anything would be helpful.
Richard L. Kinzel: Yes, we really can’t comment, obviously. In our prepared comments, we talked about both of those as being possibilities and we continue our discussions, but we haven’t finalized those terms yet.
John Maxwell - Jefferies and Company : Okay. And then just lastly, now that the company is on a much stronger footing, is there anything that you see on the potential acquisition horizon or anything out there that you start looking at or is it still more just strictly focused on the existing operations as they exist today?
Richard L. Kinzel: Well, really, both, John. We’re always listening and we’re always trying to expand the business both internally and externally. If something would come about, either from a management standpoint or from an acquisition, we certainly would take a hard look at it. But our main focus right now is getting ready for the 2011 operating season. However, certainly if something did come up, we certainly would look into it if we thought it was a good investment.
John Maxwell - Jefferies and Company : Okay. Thank you. That’s all I had.
Operator: (Operator Instructions) Our next question is a follow-up question from the line of James Hardiman. Please go ahead.
James Hardiman - Longbow Research : Hey, thanks. A couple quick follow-ups here. I think you mentioned that the new swing rides were $5 million, I’m assuming that’s a-piece, so four of those, $20 million. Can you help with a little bit of a breakdown. It sounds like $20 million for headline rides. You had some family stuff that you’re talking about, what’s the maintenance number in there? How should I think about that? And ultimately, how do you think this capital spending program compares to previous years? I mean, obviously, you had fewer rides that you added in 2010, but I’m assuming that the NASCAR rides were probably more significant. But if you were to put this in and compare it to prior years, 2010, 2009, how do you think it stacks up in terms of its ability to draw customers into your parks?
Peter J. Crage: James, from my perspective, I think it’s above average, and certainly, I think it’s going to equate the same as last year when we put in two big rides in our parks. I think putting four great rides, real good rides at our four major parks is going to have an impact on attendance. The $20 million, it’s roughly for the four rides, but we are also putting, we’re expanding the Camp Snoopy concept, the family element, to three of our parks, which I think will be a big impact. We’re also putting some money into our accommodations division. There’s very little, James, in terms of maintenance. As you probably know, we flow a lot of our maintenance costs through the P&L. So all of the capital of that $70 million or so, as Dick pointed out, is directed towards the swing rides, toward the Camp Snoopy, toward hotels, toward restaurants and those areas that Dick commented on earlier in terms of trying to drive more per capita.
Richard L. Kinzel: Besides the $80 million and $90 million that we talk about all the time, we have another $60 million to $70 million that goes just into maintenance, repairs and things like that, keeping the properties fresh with paint, new chains, and things like that.
James Hardiman - Longbow Research : Okay. That’s very helpful. And then in terms of the seasons pass mix, you really focused on that in the release as well as the prepared remarks. And you made the comment, though, that you’re basically at pre-’09 levels in terms of the season pass mix. How do I think about that past, present, and future? Is it just basically that 2009, you saw a big dip and now you’re back to normal, so we shouldn’t really expect an increased mix as we move forward or do you think there’s more room to grow as we move forward into 2011 and beyond?
Richard L. Kinzel: That’s really a park-by-park basis. Some of the parks, especially the Paramount Parks that we acquired, they’ve always had a very high seasons pass base. We’ve sort of expanded that concept to the legacy parks. A big increase this year was in our California property. A lot of that evolved around the economy and people were looking for a more efficient and more economical way of entertaining their family, so they went to the seasons passes. We have to be careful of how many season passes we sell also. So I think we’re pretty close to where we’re at, but we want to increase those every year if we can, but not to the point that it’s going to jeopardize our other business model.
James Hardiman - Longbow Research : Okay. Very helpful. Thanks, guys.
Operator: And I show no further questions at this time. Please continue.
Richard L. Kinzel: Thank you, everyone, for your time this morning and your continued interest in Cedar Fair. There’s no question that 2010 was a terrific year for the company. We look forward to building upon this positive momentum and creating a steadily increasing and sustained value for our unitholders as we move forward.
Stacy Frole: At this point, if there are no further questions, I’d like to thank everyone for joining us on the call today. Should you have any follow-up questions, please feel free to contact me directly at 419-627-2227. We look forward to speaking with you again in early May to discuss our first quarter results. Thank you.
Operator: Ladies and gentlemen, that concludes our call for today. Thank you for your participation. You may now disconnect.